Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Domo Second Quarter Fiscal Year 2022 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Also please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Vice President of Investor Relations, Mr. Peter Lowry. Thank you. Please go ahead.
Peter Lowry: Good afternoon, and welcome. On the call today, we have Josh James, our Founder and CEO; Bruce Felt, our CFO; and Julie Kehoe, our Chief Communications Officer. Julie will lead off with our Safe Harbor statement and then onto the call. Julie?
Julie Kehoe: Thanks, Pete. Our press release was issued after the market closed and is posted on the Investor Relations section of our website, where this call is also being webcast. Statements made on this call include forward-looking statements related to our business under federal securities laws, including statements about financial projections, the plans and expectations for our go-to-market strategy, our expectations for our sales and new business initiatives, the impact of COVID-19 on our business and our financial condition. These statements are subject to a variety of risks, uncertainties and assumptions. For a discussion of these risks and uncertainties, please refer to the documents we filed with the SEC, in particular, today's press release, our most recently filed annual report on Form 10-K and our most recently filed quarterly report on Form 10-Q. These documents contain and identify important risk factors and other information that may cause our actual results to differ materially from those contained in our forward-looking statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Domo's performance. Other than revenue, unless otherwise stated, we will be discussing our results of operations on a non-GAAP basis. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. Please refer to the tables in our earnings press release for a reconciliation of our non-GAAP financial measures to their most directly comparable GAAP measure. With that, let me hand it over to Josh. Over to you Josh?
Josh James: Thank you, Julie. Hello, everyone. Thanks for joining the call. As everyone is still dealing with COVID at different levels, depending on the pocket of the country or world you live in, we hope that you and your loved ones remain safe and healthy. In Q2, our business momentum continued. As the first cloud native modern BI platform, Domo posted 26% billings growth. And I hope to see us about this level higher the next several quarters as we strive towards getting a three handle in front of our growth numbers for the long-term. We posted 22%, subscription revenue growth, and 23% total revenue growth as well. Obviously, I'm very pleased with our continued strong execution. Now let me talk about a few things that I think are behind our recent success and why we expect it to continue. First, we see that market forces had been really working in our favor. Digital transformation initiatives remain a key area of investment and a strategic necessity for organizations of all sizes. We are also seeing favorable trends because companies are wanting a cloud first open agnostic partner for their data platform. We're truly benefiting from the building momentum for the breadth of apps that are built on our platform, including those that are powered by our data science and Domo Everywhere technologies. And for all intents and purposes, when we are selling apps, or when we're in app assisted deals, our traditional head-to-head competitors effectively dropped to zero. And to touch on our recent big deal that we closed last quarter, we're already seeing increased revenue and success there as well. Our ability to deliver BI leverage a cloud scale in record time is a successful formula. As a validation of our approach, in Q1 in the 2021 Gartner Magic Quadrant for analytics and BI platforms, Domo moved up to the challenger quadrant. Also in Q2, in the new 2021 Forrester Wave for augmented BI platforms, Domo was named a leader and a quote rising star for full stack BI translytical and no-code applications. This will be a boon to our sales organization, I should think. Now, let me talk about a few of our recent customer wins. Q2 was a strong new global quarter with accelerating customer count growth, momentum with partners and legacy replacements as customers modernize their BI systems. Many of our significant wins this quarter also included our sales plays targeting IT and BI big groups directly, as well as [indiscernible] business leaders. And we're seeing dramatic accelerating pickup of our apps, especially those derived from our Domo Everywhere and data science technologies. One of the new logo wins this quarter was a division of a multinational asset management firm, with over $1 trillion in assets. This division provides digital wealth management technology solutions to its financial advisor clients. They created an app leveraging our Domo Everywhere technology to provide self-service analytics for these clients, allowing the sharing of its real time data with a financial advisor customers through its proprietary advisor portal. Actually in this case, we are serving our customers customers customer. Another new logo win was with a pharmaceutical provider to long-term care facilities to provide analytics to its customers. They had invested in a legacy data warehouse that was expensive to maintain and could not meet their internal or external data needs, that required an embedded cell service, easy to use app for pharmacy and nurse consultants that only Domo could provide through our app framework and Domo Everywhere technology. One of our significant upsells this quarter was a seven figure deal with a European based life sciences company to measure marketing ROI, and to provide a data science app that could deliver marketing insights at a global scale across countries and brands to optimize marketing spend. We also had a significant $0.5 million upsell with one of our current seven figure customers, a diversified technology company, which is continuing to modernize its customer facing fleet management analytic solution from a legacy on-premise offering to a modern cloud based app enabled by our Domo Everywhere technology. This customer is able to provide real-time KPIs for their transportation customers, who can also add data and customize their own reports using Domo, something the legacy provider could not provide. Another notable upsell was with a healthcare company that needed an app for vaccination administration and scheduling for millions of people in a variety of states. We were able to deliver this highly robust multi-layered application in the quarter they needed it, using off-shelf components and tools from our Domo application development framework. Applications built off our data science technology also drove notable upsells in the quarter. For example, one medical technology and professional services company built a data science application to determine a forecasting model to better predict the likelihood of claims payment in their customer base. And a luxury retailer created a low code no-code app, leveraging our data science technology to help them predict customer churn and lifetime value, so then you were to focus the resources. One of the world's leading management consultancies recently doubled their investment in Domo to expand their ability to use Domo in more of their client engagements. They wanted to make sure they have access to a sufficient number of licenses and all the capabilities that Domo offers their clients as they continue to identify new use cases, where Domo make sense over the other technologies available in the tool chest. In addition to these stamps of customer approval, industry recognition continues to pour in, as you saw in our press release. And we were highlighted for Parity.org Best Companies to Work for list for the second consecutive year. In closing, I'm thrilled that as a business, we can continue to invest in the huge opportunity in front of us. I'm excited that we have already added the desired sales capacity in FY '22. And I'm confident that our differentiated products and strong execution should enable our growth for a long time to come. I'm very proud of the team for producing accelerating growth this year and given what I'm seeing in the marketplace. I'm looking forward to providing you guidance for the next year when the time comes. And with that, I'll hand it over to Bruce.
Bruce Felt: Thank you, Josh. I'm pleased with our Q2 performance. We continue to execute well and make good progress against our growth initiatives. So let me spend a few minutes on those items. On growth initiatives we made good progress on the sales hiring front. We have met our 20% increased capacity goal and because of the good performance we've seen from our sales teams, we're building even more capacity through the rest of the year. On execution, we had high transaction volumes across both new customers and selling to existing customers in Q2. In addition to good sales management, and adding reps, we believe this is a result of our continued improving position in the market as noted by all the industry acknowledgments, Josh highlighted. Our North American corporate business, which focuses on companies with less than 1 billion in annual revenue performed particularly well. We attribute this success to excellent sales execution, a lead generation process that engages well with that target market and the Greenfield nature of the opportunity. Given we provide a full technology stack, that is a superior choice against the tool vendors that offer point solutions in this space. We delivered Q2 billings of 60 million, a strong year-over-year increase of 26% driven by an over 90% gross retention rate, new customer additions and expansions into existing customers. Net retention remained above 100% and was up slightly from Q1 and gross retention was also up slightly from Q1. On a dollar weighted basis, we now have 60% of our customers under multi-year contracts at the end of Q2 up from 58%, a year ago, our remaining performance obligations, or RPO, which consists of all future revenue under contract grew 24% compared to the same quarter last year, and current RPO grew 23% year-over-year. Q2 total revenue was $52.8 million, a year-over-year increase of 23%. subscription revenue grew 23% year-over-year and represented 87% of total revenue. International revenue in the quarter represented 24% of total revenue and was up from 23% in Q1. Our subscription gross margin was 83%, up from 80% in Q2 of last year and roughly in line with last quarter. We continue to be successful managing our data center costs even as volumes increase. In Q2, operating expenses increased 16% from last year, primarily as we invest in our sales capacity, this lags our revenue growth of 23% as we are able to get leverage out of our cost structure. This resulted in an improvement in our operating margin of over 600 basis points from the same quarter of last year. Our net loss was $9.6 million down from $10.7 million a year ago and our net loss per share was $0.30. This is based on 31.9 million weighted average shares outstanding, basic and diluted. In Q2, we reported net cash provided by operations of $2.2 million, our cash balance was approximately $86 million , up slightly from last quarter. Q2 represents the fifth consecutive quarter of greater than 20% billings growth. And that, in turn, gives us the confidence to continue to invest in our growth opportunity as our investments are yielding positive returns. Now to discuss what we expect in Q3 and the full year FY '22. For Q3, we're expecting year-over-year billings growth of approximately 20%. As we have previously discussed, we have many growth drivers in play that could help us achieve an even higher growth rate. For the current fiscal year, we expect billings growth of about 21% year-over-year up from our previous guidance of 18%. On expenses, we're planning for Q3 operating expenses to increase from Q2 level as we continue to pursue our growth initiatives. We are particularly focused on continuing to invest in sales capacity. We plan for Q3 and full year adjusted net cash provided by operations to be positive. Now the formal guidance. For the third quarter of FY '22, we expect GAAP revenue to be in the range of 63.5 million to 64.5 million. We expect non-GAAP net loss per share basic and diluted of $0.33 to $0.37. This [assumes] [ph] 32.4 million weighted average shares outstanding, basic and diluted. For the full year of FY '22, with expect GAAP revenue to be in the range of 252 million to 256 million, representing year-over-year growth of 20% to 22%. We expect non-GAAP net loss per share basic and diluted, of $1.31 to $1.39. This [assumes] [ph] 32 million weighted average shares outstanding, basic and diluted. In closing, we're pleased with our strong performance in q2. And we believe we remain very well positioned to execute against our growth plans. With that, we'll open up the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Sanjit Singh from Morgan Stanley.
Sanjit Singh: Thank you for taking the questions and congrats on the 26% billings growth with that accelerated a tiny bit off. [Technical Difficulty]
Josh James: [Audio Gap] So I think we're close. The one thing that we haven't had is building sales capacity and the -- we've been adding sales capacity, Bruce and I both touched on that, but having sales capacity and the productivity per rep, stay in the same ballpark where it's been, will definitely put us in that range where you'll see that 30%. So I'm feeling excited and good about that, where we've got great managers in place. The team is performing, we're seeing the deals, the marketing organizations generating leads, our customer service reps are taking care of customers. And we're really seeing the market transform, where we went from people not understanding how we're not just visualization or traditional BI, we're like, no, we're modern BI. And that includes a lot of other things and what that enables are all these apps. And that's why I highlighted all those customer examples of the new deals and the upsells that we got, we're seeing absolute into many of our deals and we don't have competition when we're doing that. And I think as long as we just do more of that and add some sales heads, so we have more people selling, then we'll be seeing the three in front of our growth numbers.
Sanjit Singh: [Technical Difficulty] you are making growth easier for Domo. It sounds like on the gross retention rate continue to pick up, which is certainly helpful there. The other thing that caught my ear was the commentary on the corporate market. It sounds like you've been doing well on weighing those strategic accounts, you had that big deal that you sort of referenced last quarter. But it seems like the corporate market could be kind of that quicker sales cycle. Or I was wondering in terms of creating that high velocity blocking and tackling businesses that are driven by sort of digital lead generation, can that be sort of a driver going into calendar ‘22 because it seems like lead generation was one of the challenges for the company before in terms of investment area, but seems like that taking off, I just want to understand like the corporate market opportunity.
Josh James: Yes. So we'll continue to invest in the corporate market. It's a good market, good business, good average deal size. We're important to those customers. A lot of our customers, even they maybe only have $250 million in revenue, but when you think about companies, you know they have $250 million in their real businesses, and we become a very important part of their business, and we interact with their CEOs and their COOs and their CFOs and CMOs, we're an important part of their -- of that relationship. And I think there's plenty of opportunity there for us to continue to grow, continue to add reps. And it's not just with new logos, which we're seeing the new logo count tick up. We -- you're right, our ability to generate leads has improved. But the other thing that we've seen a lot of success from is splitting those teams out into teams that go out and generate new logos and then teams that work with our current customers and go out and get upsells, and we've been really effective that way. When you look the productivity of those teams, it's off the charts. So we know there's a lot more products and opportunity that we can go in -- go back in and sell to our current customers. We have thousands of customers and an opportunity to go back and sell them a lot of products and services. So we feel really good about the opportunities there in the corporate market, with Jeff Skousen running it and his very capable group of managers. So we're pretty excited about that.
Sanjit Singh: Well, thanks, Josh.
Josh James: Thank you very much.
Operator: Your next question comes from the line of Derrick Wood from Cowen.
Derrick Wood: Great. Thanks for taking the questions, and congrats, another great quarter. I wanted to follow up on that new customer generation, and, I mean, it sounds like you guys have been doing well on your own marketing lead-gen. But Josh, I know you've talked about some of the bigger deals you've landed recently create this kind of viral market awareness, maybe particularly in the retail vertical, you've got the move that you made up in the Gartner Magic Quadrant. And so I'm just curious how those kinds of activities are translating and impacting new customer generation and how that's getting you more market awareness?
Josh James: Yes, I think it just gives us more credibility with the customer when you go in there. We figured out the right way to approach the customer. And one of the big things that happens, people buy from people they like, people buy from people they have confidence in, and when our reps are walking in, they have a lot of confidence, because we have a lot of referenceable customers. And we're not just helping one small group, but we're providing apps to these customers that are transforming the way that they run their business. We were just looking at a customer that I didn't know a lot about and we delve into a little bit and they're paying us north of $1 million a year, they just signed a three-year renewal, increased their contract by $0.5 million a year. And it's because we're providing an app to them that help them manage all of their employees and this -- their bill hours and how to manage all their employees more effectively. And it's through this app that we built for them in this low-code, no-code framework that we have. So you just hear more and more about those kind of examples. We had one of the states that we work with, that we started out with a COVID relationship and helping them do testing. And it was when something need to put together over the weekend, we built an app for them over the weekend. And we just heard from them two days ago, one of these states, we heard that now they're looking at a multi-year deal with a big upsell, and the commentary that they gave to us was, we had no idea how easy it was to build apps, there's so many things that we need to accomplish here internally for our state, and we're starting to looking you guys a lot more seriously for other applications that we need to build as well. So there's just a lot of goodness all around. We need the extra capacity because we've been limited by the people, the number of reps that we've had. I think as we build that out, we're going to see a lot of goodness accrue to the company.
Derrick Wood: Great, thanks. And maybe on the flipside, just kind of talking about large deal activity, and I think the last few quarters, you've highlighted some nice really big strategic wins. And it seems like this quarter was more highlighted around a lot of good transactional activity, but just -- and talking about your pipelines and lead-gen around larger deals, how do you feel about your pipeline coverage today versus a year ago on large deals and particularly as we move into this seasonally stronger second half?
Josh James: Yes, I mean, we will see what happens in Q4. We've got a lot of deals that are cooking. We don't necessarily -- it's not dominated by large deals. There's -- that's, I guess, maybe a good and a bad thing. We want to see more large deals out there. I think they're going to accrue to us as we have more success in the enterprise space. But at the same time, when we look at our pipeline, there's -- it's not a big lumpy pipeline. It's a game of numbers here, and when there's not big lumpy numbers, then you feel really confident about the numbers that you're looking at. But if you look, like I'm looking at the top 10 customers that we have right now, and just in the last quarter, four or five of them we got upsells from. So we're going to continue to see, you look at the average revenue we get from our top 10 customers that's going to continue to grow. I don't know if there's -- I don't think there's anybody in the top 10, where we've maxed out our relationship with them. And to the contrary, I'd say most of them, we maybe have 1/10th or 1 -- maybe 1/5th of the relationship that we could have with them and in some cases 1/20th. So there's just a lot of upside for us. There's a lot of goodness that's going to come. It's just we got to put it to Bruce to help us figure out to what that guidance needs to be and we're trying to be patient, but we see a lot of goodness coming, especially as we see the sales capacity growing and the productivity staying in the same ballpark.
Derrick Wood: Okay, thanks. Well done.
Josh James: Thank you.
Operator: Your next question comes from the line of Jack Andrews from Needham and Company.
Jack Andrews: Good afternoon. Thanks for taking my question. I was wondering if you could just dig a little bit deeper into this -- the success and differentiation you're seeing in your app business. Is there a way to maybe decouple what you're doing in apps from the platform itself or is it the power of Domo's platform that allows your apps to be really resonating well? Is there a way to sort of break these apart or is it the combination that's really helping you?
Josh James: It's the combination that's helping us. I mean, every single one of these apps has a data component. If you want to run a digital business, if you want to run a business in the environment that we're in now, that's able to interact with your customers in a digital way, interact with your employees in a digital way, then you need a data platform first and foremost. And we have the ability that allow you to put all of your data in a location where we can access it. Once you can access it and distributed to all the people that need to see that information, then our customers' [indiscernible] start going up, like well, could I take these components and these elements of data and then create an application and could I distribute this to all of our developers that build on our gaming platform? Could I distribute this to all of our insurance agents in the way that they interact with their customers? Could I take this information and distribute it to all the citizens there that come in and need services from our state? And every single one of those apps has a need for data. And if you were some app developers sitting outside and you were tasked with going to do that, you'd have to start with going to figure out where the date is. We already have to know what the date is. And so when a customer has an opportunity to provide a service or do something more efficiently, something that might cost them $10 million or $20 million outside, they can come to us and be like, can you guys build an app that does this, like, yes, we got the low-code, no-code environment, you can do it yourself, you can have a partner do it, we can do it for you. And $1 million or $2 million later, they've got a fully functioning app that's customized for their business. And that's what we're seeing. We talked about a big deal that we closed last year, I mean, last quarter, several million dollar deal that we closed last quarter. And the thing that is already moving down for them in a dramatic way are the apps that we've been put together for them. And they've been helping us put together and it's just taking pieces of data that has never been able to be exposed before. It's exposing it in real time. And we're already hearing that it's saving hours of time from everybody that was working on the sales floor across this organization, because now instead of them having to go and research data, it's right there in their phone. And it's an app that we put together for them and it's only because they're using our data platform. So it's the combination of the two things, the app framework that we have and then the modern BI platform that allows you to have this BI leverage at cloud scale and then building these apps in record time, it's really transformational. And we were having a conversation earlier today at lunch talking about what percentage of the Fortune 500 you actually think has an app -- has a data platform where they have access to all their data, like we do for a couple of our really big customers. And I guess five, six, that's it, like we're at the very beginning of this game, but we have a fully functioning data platform and app framework and we're going to transform companies.
Jack Andrews: That's really helpful. Appreciate that. Maybe just as a follow up question, if I may, Josh, is there a way to frame the number of strategic C-level conversations you're having now versus maybe six to 12 months ago? And just how important are those conversations for expansions moving forward?
Josh James: Yes, I mean, that number definitely increases. It's not like a dramatic increase, because we've always had CXO relationships. We had a meeting here, and we were talking about all the different clouds that are out there. And we went around e-staff and raised hands for people that actually log into those applications that are provided by the big cloud vendors. And some of them, not one person on e-staff logs into, other ones, maybe one person, whoever is direct line responsibility was logs into that. But you look at our customers, especially like in the corporate market, there's multiple CXOs, and almost every single one of our relationships that has access to the data.  In all of our enterprise customers, multiple CXOs have access and log in and look at that data, in many cases, multiple times a day. So, it's an occurrence that doesn't happen anywhere else, doesn't happen with any other software vendor that I know of. And I think that's why we're excited to be in the position that we're in. I don't think the growth profile yet reflects the opportunity and reflects what we built because of some of the history, but we feel really good about where we're getting positioned and the resources that are coming online with the product that we already have in the customers, the customer experiences that we already have.
Jack Andrews: Appreciate the color. Thank you.
Josh James: Thank you.
Operator: Your next question comes from the line of Pat Walravens from JMP Securities. Your line is open.
Pat Walravens: Great. Thank you. And let me add my congratulations. So Josh, what would it take for this business to grow much faster?
Josh James: Well, we'll get into the 30s and then we'll tell you. I think you look at just what Bruce talked about on the Analyst Day and the growth drivers that are there. We don't -- we need like one of those growth drivers to get into the 3s. And in fact, I don't even know if sales capacity was on there, but really, all we need is sales capacity, get more sales capacity, and we're in the 3s, and then you add those growth drivers that Bruce talked about on the Analyst Day, we get a couple of those things to work and we're faster. So whether it's the partner network, I mean, you look at the ecosystem that's getting created by the app framework that we've built. There's going to be a real ecosystem around that. We have a customer that provides mortgage services and they've built an app that they then go out and sell. It's not unlike Force.com and FinancialForce. We have multiple financial forces running around. If maybe not your traditional ecosystem, but they're out there. And we look at that and look at the momentum that they have, like, we need to see this a little more, that's a real opportunity. We need to go and invest in. We have customers that -- we have products that in the -- I guess, in the space that has to do with goal setting and managing and in workflow apps in the workflow space. We have dozens upon dozens that have been built, and we're taking some of those and turning them into apps ourselves that we're going to sell it and we have been selling into our customer base, dozens of times. So, I think you turn around, you're like, oh, that did $5 million last quarter of new business, that's a real opportunity. And that's what happens with Domo Everywhere. We've got 10 more things like that cooking. And we referenced Domo Everywhere multiple times today, and that technology enables so many interesting apps. So, I think there's a lot -- go look at the list from the Analyst Day that Bruce gave, and those are the things that get us higher than the 3s. Bruce, do you want to add anything on that?
Bruce Felt: I’ll just say we're making fantastic progress against a couple of those. I mean, one is certainly sales hiring. We've really been leaning in sales capacity. We think we're in a fantastic position to bring reps onboard, ramp them and get them to work, and that's been going extremely well. The other thing is certainly just the brand awareness as evidenced by how our position in the market continues to improve and how the market -- the dialog in the market is more around modern BI, fast deployment, easy adoption, flexibility, the ability of low-code, no-code apps, that's really moving our way in a big way. So, these two alone really put us in a very good position to keep the growth going. And on all the other items, which includes partners to BI, the BI Play running at the office of the CIO, marketing effectiveness, all those we're making incremental improvements. So we're seeing it improving, but any one of those can also, I think have a breakout quarter. And that was put us in a really good position to kind of keep the growth, not only the growth going -- growing, but get more to our aspirational growth rates.
Pat Walravens: Awesome. Thank you.
Josh James: Thanks, Pat.
Operator: Your next question comes from the line of Kamil Mielczarek from William Blair.
Kamil Mielczarek: Hi, congrats on the great continued execution and thanks for taking my question. I want to better understand your comments around the continued sales capacity investments. So you met your 20% hiring growth targets in the quarter and -- but you said you plan to build more capacity through the rest of the year. Are you still expecting sales headcount to be up 20% at the end of the fiscal year or is productivity finally getting to a point where you can accelerate that pace of ads? And how do you decide if that growth should eventually be 25% or maybe even 30%?
Bruce Felt: Yes. So the basic model was to count on rep count growing, but don't count on productivity increasing, in fact, we kind of model a decrease. And we do that for safety reasons, we do that because we experienced difficulty in the past keeping productivity up with hiring. And we are just want to be very careful about how we come up with our plans and particularly with our guidance around the plans. We fully -- we -- I'll put it this way, we've charged through 20% and it's going to stay that way through the end of the year. And you heard from Josh, the aspirational numbers, where I would say aspirational is even higher than Josh has stated.
Josh James: Much higher.
Bruce Felt: But you can see where we're pointing to and where we want to get the capacity and not have to rely on productivity. But if we can get both, if we can get both up, then we're really in a good position. So keep on going to sales hiring until the point at which we find we're not getting the returns we should be getting and we've yet to find that point, so we're going to keep going.
Josh James: Yes, I think the summary is that, and we've talked about this before, but it's so true and it feels very different. We were playing defense there for several years. We've been playing offense, the last 12 months, it's a lot of fun. We blew through our sales capacity initial targets in one quarter, and we can see that number up 30% to 40% depending on where we're at. We certainly have the P&L ability to hire more reps and invest in the future. So hopefully, that's what we'll be able to do when we -- as we see the numbers play out. But it certainly seems like that's going to be the way, that's going to be the direction that we're going to end.
Kamil Mielczarek: That's great to hear on the progress and definitely nice to hear about those aspirational targets. If I could just follow up on the partner channel, can you just update us on the traction you're seeing there, and who are some of the biggest contributors today, and what are the next steps to driving towards the long-term targets at your Investor Day of 15%?
Josh James: Yes. So we've got a whole group that goes out and works with different partners that we have. We talked about a deal that we won this quarter from one of the large consulting organizations that's out there that made it even bigger bet on Domo, and those kind of relationships certainly helped. We had more -- we have more new opportunities in the pipe from Snowflake than we've ever had. And the relationship there continues to evolve, where we're building relationships with the different managers and sales engineers and salespeople on their side, and we're bringing each other into deals. So it's good to see that momentum. And we'll just keep plugging away at that, that's not something that we think that we're going to get a huge benefit out of in terms of our partner ecosystem. It's going to have a massive impact on our numbers or that we're counting on in the next 12 months, but that's more of the long play and we're going to keep investing in it. We know there's opportunity. Goodness comes to you as you get larger in size, as you get better recognized by the analysts. So goodness is going to accrue to us and we're going to be patient on that, we'll just continue to invest in it.
Kamil Mielczarek: It's good to hear. Thanks again.
Josh James: All right. Thank you.
Operator: There are no more questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.